Operator: Ladies and gentlemen, welcome to the ABM's First Quarter 2018 Conference Call. As a reminder, today's call is being recorded. I would now like to turn the conference call over to Susie A. Choi. Thank you. Please go ahead.
Susie Choi: Thank you all for joining us this morning. With us today are Scott Salmirs, our President and Chief Executive Officer, and Anthony Scaglione, Executive Vice President and Chief Financial Officer. We issued our press release yesterday afternoon announcing our first quarter fiscal 2018 financial results. A copy of this release and an accompanying slide presentation can be found on our corporate website. Before we begin, I would like to remind you that our call and presentation today contains predictions, estimates and other forward-looking statements. Our use of the words, estimate, expect, and similar expressions are intended to identify these statements. These statements represent our current judgment of what the future holds. While we believe them to be reasonable, these statements are subject to risks and uncertainties that could cause our actual results to differ materially. These factors are described in the slide that accompanies our presentation. During the course of this call, certain non-GAAP financial information will be presented. A reconciliation of those numbers to GAAP financial measures is available at the end of the presentation and on the Company's website under the Investors tab. I would now like to turn the call over to Scott.
Scott Salmirs: Thanks Susie and good morning. We appreciate everyone joining us today as we discuss our performance for our first quarter which was announced yesterday. Today, I'm particularly happy because these results now reflect our new operating segments as ABM and GCA are now fully combined and represents the culmination of a great deal of work to get all of this organized and set up both operationally and administratively. And while there is still work ahead of us I cannot be more pleased with where we stand today. We embarked on an important journey with our 2020 Vision and this represents another milestone on our path. We are now leveraging our strength and growing our presence in the aviation, business and industry, education, healthcare, and technology and manufacturing sectors and our technical solutions segment is positioned to capitalize on our new structure as we intensify our cross selling initiatives. We're also making good progress with other key initiatives such as center wise procurement, shared services and the deployment of the ABM Way. Let me first turn to the quarter's performance. I'm pleased with our start to the new fiscal year. As I stated in the press release, our results met our expectations as we delivered total revenues of $1.6 billion, an increase of 19.7% versus last year. This was driven predominantly by our first full quarter of GCA related revenue and enterprise organic growth of 3%. Also keep in mind that on a year-over-year basis our results for the quarter exclude the Government business which we sold during the third quarter of fiscal 2017. Organically, revenue growth was driven by strength within our Business and Industry and Aviation segments. Our Business and Industry segment had good expansions with some larger scale clients who were growing and view us as strategic partners as they expand their footprint. We also benefited from an increase in tag work in the quarter. Aviation continues to show promise in nascent service lines as we recently grew our catering and logistics business platform with a multimillion dollar award from a second client. As you'll recall, we just greenfielded this service over the past 12 months and now we have a pipeline that is growing. Our adjusted EBITDA margin was 4.1% versus 3.6% last year. These results led to GAAP EPS from continuing operations of $0.42 for the first quarter and $0.26 on an adjusted basis. This reflects higher interest expense, amortization and share count as a result of our GCA transaction. We're also on pace to generate free cash flow in excess of $120 million this year. Now I'd like to discuss our progress against our key strategic priorities for the full year. As many of you may recall from our Investor Day, we described in great detail our transformative 2020 Vision journey and what we are building. We've restructured our organization. We are making back-office improvements and we are investing in technology to streamline operations and enhance performance, increasing our earnings power over the long term. 2018 will be a pivotal year along our path to 2020 and we are especially focused on a few key areas to drive our longer term vision. First, we are more determined than ever to accelerate organic growth. With Scott Jacoby at the helm as our Chief Operating Officer, our firm is embracing a new sales culture. We are adding sales resources as part of our plan and through the end of February we added more than 30 salespeople out of a targeted goal of 60 for the year. This will bring our total sales headcount to approximately 300. Sales roles are arguably the hardest roles to fill in any business at the moment. I'd like to think our success in attracting top talent has been related to how compelling our 2020 Vision is and the fact that we've develop robust support tools to enable effective selling. It may sound cliché, but salespeople want to sell. They need to be convinced that there is a holistic support structure that allows them to succeed. Anthony is going to discuss our segment performance shortly, but each has specific growth plans on where we believe we can leverage our strengths. Some are focused by service lines, some by geography, and some are focused by type of client within their industry group. For the most part, all have elements of everything I just described. The key for us is being strategic about how and where we find growth through our account plans and ensuring that we are not just growing indiscriminately. As an example of strategic growth, on the heels of B&I's blockbuster UK win for the transport for London, B&I in the U.S. recently won a multiyear contract with the City of Chicago to provide facility services for city managed properties including police stations and libraries. This is a great example of how we are leveraging our global resume as a key differentiator and winning large profitable contracts. Another key area of focus for us is the smooth integration of GCA which is going really well. We started the fiscal year concentrating on building an organizational structure that maximizes the combination of the two firms and aligns with our synergy targets. Since then, we've remapped our operations across the enterprise to the new illustrated [ph] structure and our organizational realignment is now complete. This was a really important milestone. Operating as one combined entity lets everyone begin to focus on the future. I will tell you that this has only underscored what a great cultural mass GCA is at ABM both internally and externally with our new client base. Employees are excited to be part of a growing public company and the client reception has been amazing, including some key renewals in the last 45 days. The next steps of integration involve IT, procurement, and marketing which includes system convergence, supplier [ph] alignment and rebranding. We remain on track to achieve the high-end of our target synergy range of $20 million to $30 million by next year. We also continue to be focused on the ABM Way, which remains the key to unlocking operational efficiencies and margin expansion over the long-term. We moved away from merging the ABM Way solely as a corporate function and pursued what we call an ownership model, which embeds teams within each industry group. We are staffing these teams with high-performing talent and investing in tools such as the Tag Pricer. For those of you who joined us on Investor Day, you may recall that the Tag Pricer is an app that we developed internally to facilitate the processing of work orders or tags as we call them and improve efficiencies by reducing processing time. This leads to better project management and increases client satisfaction which will ultimately lead to greater client retention. It will also provide valuable data which through our AI functionality will lead to pricing optimization over time. We rolled the Tag Pricer out in our B&I group and it's being adopted and embraced. The rollout began in mid-November. Since then, we have seen the usage increase each month with 15% of eligible tags being processed through the Tag Pricer in December to now over 30% and growing fast. This is tremendous adoption by any measure. Lastly, as you saw in our press release, we increased our full-year GAAP guidance outlook by $0.55 to a range of $1.88 to $1.98 per share and $2 to $2.10 per share on an adjusted basis as a result of the Tax Cuts and Job Act. The excess cash generated from this new legislation will predominantly be used to de-lever. We will also look at how we can enhance front line or manager training as well. As always our capital allocation priorities remain reinvestment in the business, the distribution of our dividend and deleveraging. So as you have heard here, and out on our Investor Day we are positioning our hundred-year-old company for the next hundred years. Everyone at ABM more than 130,000 of us are mobilized and ready to execute against our short-term and long-term goals for our business. Our 2020 Vision is predicated on organic revenue growth, margin and earnings growth, and free cash flow conversion. I cannot thank our employees enough as they are the driving force behind the structural improvements we are making. We have learned a great deal over the last two years and our ethos of continuous improvement will continue to make our path to the future clear. Now, I'll turn the call over to Anthony for further commentary on our fiscal and operational performance.
Anthony Scaglione: Thank you, Scott and good morning everyone. Before I begin the financial review on today's call, I want to convey my enthusiasm for our expectations for the remainder of this year as we are already off to an exciting start. Given the recent tax reform and our ongoing integration of GCA, both of which we will discuss in great detail today. Before I do so, I want to express my gratitude to our entire financial organization for yet another quarter of tremendous work. As you can imagine, concurrently navigating the complexities of integrating the largest acquisition in ABMs history, dealing with the most significant overhaul of the U.S. tax code in more than 30 years and reorganizing our financial reporting structure as a newly combined ABM and GCA business was no small feat. I commend the entire finance team for closing a historic first quarter on many levels. With respect to GCA, let me present today's conversation with a reiteration of the acquisition's impact on our business. We covered this at Investor Day, but as a reminder, on a segment basis, GCA impacted all of our business segment except for Technical Solutions. And our overall results are reflective of the higher amortization, interest expense and share count solutions that resulted from the transaction. Additionally, this year's first quarter also excludes the contribution from our previous Government Services business which we divested at the end of the second quarter last year. Moving to results which are described in today's earnings release and presentation, total revenues for the quarter were $1.6 billion, up 19.7% versus last year, driven by GCA revenues of roughly $252 million and good organic growth within the business and industry and aviation segment. Organic growth for the quarter was 3%. On a GAAP basis, our income from continuing operations was $28 million or $0.42 per diluted share versus $16.1 million $0.28 per diluted share last year. Tax reform had a significant impact on the year-over-year increase due to a one-time discrete tax benefit of $28.7 million due to the re-measurement of deferred tax assets liabilities. Offsetting this was a one-time $7 million tax expense related to the repatriation of foreign earnings. The total GAAP impact from these items was $0.33. In addition, the reduction of our federal corporate income tax rate impacted the quarter by approximately $600,000. Our results also reflect the following items that are predominantly related to our acquisition of GCA. Higher amortization of $10.7 million which is embedded within each reportable segment. Higher interest expense of $11.1 million and an increase in weighted average shares outstanding on a diluted basis to $66.3 million. Excluding the impact of segment related amortization, our overall operational results benefited from GCA related revenue predominantly within the education and technology and manufacturing segments. On an adjusted basis income from continuing operations for the quarter was $17.4 million or $0.26 per share diluted share. During the quarter we generated adjusted EBITDA of $65.1 million for an adjusted EBITDA margin of 4.1% compared to 3.6% last year. Now, let me dive into the segment results for the quarter, which are described on slide 12 of today's presentation. At our Investor Day in January we provided a comprehensive overview of each of our business segments which I hope you found helpful and which are now posted on our website. Please note and as I discussed, GCA will have a large impact on our fiscal 2018 operating segment results in a number of ways. This quarter we have introduced our new operating segment to better reflect our combined business and to align to the way we will manage the business going forward. Part of this process involves the intricate task of remapping overhead expenses which was very similar to what occurred last year upon our 2020 Vision realignment. Therefore due to the GCA acquisition and the remapping of overhead expenses, including allocations, our operating segment results will not be easily comparable on a year-over-year basis. To help you assess our operating performance during the first year of integration, we've provided full year operating margin guidance as part of our Investor Day presentation which we are reiterating today. Moving to segments and providing a brief summary for each, business and industry or B&I is our largest business with a steady and more mature growth profile, predominantly comprised of commercial real estate clients across a breadth of contracts. Revenues for the quarter increased 10.1% to $722 million versus last year driven by $41 million of additional revenue related to GCA including approximately $20 million in the vehicle services business, which has performed at a breakeven operating margin. For the quarter B&I exhibited good organic growth stemming from new janitorial wins, expansion of existing key accounts and strong tag revenue. Operating profit for the quarters was $28.5 million for a margin of 3.9%. Excluding GCA related amortization, the operating margin for this business was 4.2%. As previously indicated, we anticipate a full year operating margin in the low 5% range and as you know for each year our first and second quarter operating margins are typically lower than the full-year average due to the timing of FUI [ph] taxes and other burdens. Also as I cover the segments full year margin expectations they are all inclusive of amortization. Aviation is a segment characterized by a larger concentration of contracts with several major airlines and airports and with buss cycles and awards that tend to be clustered. The increase in revenue during the quarter related primarily to new growth and expansion we experienced in the last fiscal year with revenue increasing 10.5% to $256 million this quarter. This was driven by organic growth attributable to parking, cabin cleaning and catering logistics. GCA had a nominal impact of approximately $4 million in the segment. Operating profit came in at $5.8 million for a margin of 2.3%. We continue to expect to end the year in the mid 3% margin range. Our new technology and manufacturing or T&M segment reported $232 million of revenue for the quarter. This was a combination of GCA revenue of approximately $59 million as well as our legacy technology and legacy industrial manufacturing client base. T&M is defined by a diverse client base with typically larger enterprise accounts where we see opportunities for integrated facility services. We remain excited for the potential growth in this business as we view the underlying industry fundamentals to have a longer-term faster growth profile over time, primarily characterized by Silicon Valley and Pharma clients. Operating profit came in at $16.9 million for the quarter for a margin of 7.3%. Excluding GCA related amortizations the operating margin would have been 8.3%. On a reported basis, we continue to expect low 8% operating margin range for this segment. Moving to education, as you know the now standalone education segment was most heavily impacted by the acquisition. Revenue for the quarter was $206 million reflecting approximately $140 million of GCA related revenue. While we have started the year as anticipated on the top line, we are seeing some labor pressure in parts of the business due to the fact that the majority of the portfolio is in nonunion geographies which typically have a higher turnover and which can lead to over time pressures. On the top line we have also not yet anniversaried some of the lost ABM contracts we discussed in 2017. As a result, we expect the business to normalize during the latter part of this year. I also want to discuss seasonality for a moment given the size of this new segment. Contract servicing in the K-12 markets are typically awarded in the March through May timeframe which work beginning over this as schools prepare for the new academic year. In higher education contracts are all awarded throughout the year with the summer typically being the period when tag work is performed to prepare the schools for the coming year. Therefore results may exhibit some seasonality from quarter to quarter with normalization over time. Operating profit for the quarter was $9 million for a margin of 4.4%. Excluding the impact of amortizations operating profit margins were 7.5%. We continue to expect an operating margin range in the low 5%. Healthcare which was part of our emerging industries segment last year is now a standalone segment. Revenues for the quarter were approximately $68 million reflecting $8 million in GCA business which was almost entirely within the non-acute commercial space aligning with our business strategy for healthcare. Excluding GCA amortization operating margins were 4.3% for the quarter and 4% on a reported basis. We continue to expect to end the year with operating margins in the low 5% range. Technical solutions is the only segment whose results were not impacted by our GCA integration. Revenues were $104 million for the quarter down 3.4%. If you recall, we previously discussed the shift in timing which was related to lower project bookings at the end of fiscal 2017. Bookings and our pipeline are off to a good start in our first quarter with one of our best booking month ever in January. With our focus on cross-selling and opportunities in both the government and commercial markets, we expect our project and revenue return to begin to normalize in the second half. Also we are excited that we've booked an education cross-sell during the first quarter with the school district in Georgia. This exemplifies our organization's focus on cross-selling into existing customers with our stronger, new presence in the education market. Operating margins were 5.3% compared to 7.3% last year. These margins reflect our investment in U.S. sales people [indiscernible] as well as lower margins in the UK. We continue to expect a high 8% operating margin range for this segment. Let me spend a few moments on the non-aviation UK business in general which is reflected in the B&I and technical solutions segment. While small compared to ABMs total book of business, we have begun to see some impact of the business based on localized conditions impacting facility service providers in general. Market uncertainty has slowed some outsourcing decision-making and created a more competitive pricing structure in certain parts of the market. Our UK team is navigating these components deftly, but we expect continued near term margin pressure for this business. Turning to liquidity, we ended the quarter with total debt including standby letters of credit of roughly $1.3 billion and a bank adjusted leverage ratio of approximately four times. During the quarter we paid a quarterly cash dividend of $0.17 per common share for a total distribution of $11.5 million to shareholders. Our Board has also approved 208th consecutive quarterly cash dividend. Now turning to our revised guidance outlook for the year. As described in our press release, we are increasing our GAAP and non-GAAP guidance to reflect recent tax reform. We anticipate our GAAP guidance outlook to be heavily impacted by a one-time net discrete tax benefit of $0.33. Due to the complexity of reflecting the exact impact of the tax act we continue to analyze the accounting impacted and expect to refine these estimates throughout the fiscal 2018 period. As such we now expect GAAP income from continuing operations to be in the range of $1.88 to $1.98 per diluted share compared to our previous range of $1.33 to $1.43 per diluted share. On an adjusted basis, we are raising our guidance outlook to $2 to $2.10 per diluted share compared to our previous range of $1.70 to $1.80 per share. This guidance assumes a tax rate between 28% to 30% for the fiscal 2018 year compared to our previous guidance of 38% to 40% reflecting a reduction in our federal corporate income tax rate from approximately 35% to 23%. This decrease is reflective of 10 months of the impact from the tax Reform Act, but does not include other provisions of the tax act which will become effective for us in fiscal 2019. This rate also excludes discrete tax items such as the 2018 work opportunity tax credit and the tax impact of stock based award also referred to as FAS 123R. At this time, we anticipate a little more than $10 million in discrete tax items for the full-year which is an increase from the $9 million we originally anticipated. This increase is due to our revised estimates for [indiscernible] and 123R and we continue to refine all tax elements. While all other components of our guidance outlook remain unchanged, I want to discuss interest for a moment given the broader context we're seeing in the marketplace. Through swaps we have hedged approximately 50% of the floating component of our current outstanding debt to fixed-rate at approximately 1.6%. Due to the increase in interest rate expectations for the future, these swaps have an unrealized mark-to-market gain of roughly $21.5 million. While we are hedged 50%, we continue to evaluate the interest rate market and its impact to our current and forecasted interest expense. Finally, as Scott discussed, our GCA integration is proceeding as planned and we continue to expect to achieve synergies at the high-end of our $20 million to $30 million range on a run rate basis. We will begin to realize these synergies as we progress throughout the year. With that, operator, we are now ready for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Michael Gallo from CL King. Please go ahead.
Michael Gallo: Hi, good morning.
Scott Salmirs: Good morning, Mike.
Anthony Scaglione: Good morning.
Michael Gallo: Scott, my question is on GCA, and you had four or five months to look through the integration to see how they are doing some things and I was wondering some of the bigger opportunities you think about in terms of exporting, best practices from GCA over to how you're doing things at ABM, what kind of opportunities you see there relative to your original expectations and whether you think that might be an area of upside relative to what you thought in terms of synergies? Thanks.
Scott Salmirs: Yes, that's a great question, Michael. So I'd say we're off to a really fast bar on cross-selling and we just were talking about the pipeline and it has been just a lot of traction in opportunity from these accounts. Then we really have the opportunity to have technical services as a lever to enhance our clients, so that's been really good. And as we talked about before, we're just getting a lot of learnings about how they operated from a shared service standpoint and we've actually stood up a group that's working on our internal rewiring we're calling our transformational office specifically from the learnings that we've had, so we think that's going to be helpful over the long-term. So you know it's not just kind of topline and bottom-line, it's a lot of the learnings inside the organization as well.
Michael Gallo: Are you saying in terms of specifics and best practices that you want to call out or any examples that are kind of notable that they are doing things in a way that you see an opportunity to export that over and do in a lot more efficiency at legacy ABM?
Scott Salmirs: Yes, I mean essentially for us it's kind of their approach to the clients and being disciplined with standard operating practices is an example. If you look at ABM we may have 65 ways around numbers of doing invoices across the country, right by being very kind of open to doing whatever clients ask for and we looked at GCA and they narrowed it down to maybe a couple of ways to do it and they were prescriptive about that approach and when you do that and you do fine with your client to get efficiencies in the back office. So that that's a great learning, it's a great take away and long-term will give us good synergies.
Michael Gallo: Okay, thank you.
Operator: Thank you. Our next question comes from the line of Andrew Wittmann from Robert W. Baird. Please go ahead.
Andrew Wittmann: Thanks and good morning. I guess I wanted to dig into the sales force comments a little bit more here. Scott, you kind of quantify the number of people you're looking to hire 30 so far, 60 for the year. I guess how incremental is that from what you were thinking about when you initially gave guidance? And then can you talk a little bit about the sales productivity that you've been seeing on your sales force in the last quarter or two and specifically may be out of even the new hires? I guess what I'm trying to kind of get a sense of here is when do these investments start paying off and seeing tangible results and accelerating organic growth?
Scott Salmirs: Yes, so just generally speaking, our sales force is in line with what we guided to. As I said in my speech it's difficult finding sales people right now, they are just on high demand and we're just - we're not going to compromise that because when you hire an ineffective sales person, it's just not a good thing, so we're being - again we're being very disciplined in how we're on-boarding people. And it does take time, it can take six to nine months before a salesperson can hit the ground running, build the book of business and starting to get some results. So I would say that's kind of the timing of it.
Anthony Scaglione: And I would also add Andy, it's also looking at the marketplace much more analytically around where the opportunities truly exist. And rather than just hiring across the portfolio we're really looking at market where we may have a stronger opportunity to grow the business and putting good people in that market and that's also causing us to look at our existing sales force and making the approximately actions around driving that long term behavior.
Andrew Wittmann: I think you're comfortable adding 20% plus to the sales force, are you seeing the early returns that give confidence there or the 60 the target for the year if you fall a little shy it sounds like Scott may be okay with that because you want the right people, is that potentially margin upside to the guide if you don’t get the hires and I guess my question is, is this the right pace given that that's a substantial increase and want to make sure that you get returns on them?
Scott Salmirs: You know, we really feel good about it and we've just instituted a 16-week training program when we on-board our sales people with a checklist of things that has to happen every week. So for us it's the right pace of hiring. And remember we're doing it over a pretty broad spectrum, so even thought it feels like a lot, it may be incrementally one or may be two in a marketplace right? Especially and when you stratify that across the different industry groups right? So, we don’t think it's an over burden and we think if we're disciplined about who we hire and we have a great on-boarding program it's going to lead to better longer term success.
Andrew Wittmann: Got it. All right, then just may be a couple modeling questions and might more towards Anthony, and Anthony I want to talk about Technical Solutions, you've talked about this at length, but I just wanted to get a sense from you or maybe Scott it's from you, about how big that fourth quarter is going to be for you guys? Sounds like obviously you reiterated the moderation in the first half of the fiscal year, but I mean, are we looking at 40%, 50% of the operating profit coming in that fourth quarter, I just want to get some sense do we have an expectation of what to think about there?
Anthony Scaglione: Sure and I think it follows the cadence that we've had in the past being a second half story for the Technical Solutions business and really breaking apart between the U.S. and the U.K. business and looking at it from the U.S. perspective it’s truly a second half story and that would drive more than 50% of the operating profit in the second half and that's right in line with the way we're seeing the pipeline and the backlog in that business and the churn. So we are still extremely confident that that's going to continue to be a high single-digit grower not a low double-digit grower this year. The team is really excited about the opportunities both from prospects on the traditional business and also prospects on the cross-sell, so we feel pretty good about where this is heading from a U.S. perspective.
Andrew Wittmann: Okay, that's helpful and if you just keep going with you've just thinking kind of longer term about tax rate, you said you're going to pick up some incremental benefits in fiscal ’19, what do you think as you take your initial cut here is the right tax rate out there in ’19 where you get the full year of contribution from tax reform in these other things that are taking in?
Anthony Scaglione: It’s exactly the way that you need to look at it is obviously this year from a pure tax reform perspective we're getting 10, 12 sort of benefit, but we're actually not yet incurring some of the costs associated with limitations such as 152 [ph] and there's some additional limitations that are going to kick in ’19. So when you look at it from a pure rate perspective, even though we're going to get a full year on the absolute rate we are going to have some headwinds on those other items. So I would be modeling flat to slightly higher taxes in ’19, but for now I would just use ’18's rate as a good proxy for ’19.
Andrew Wittmann: Okay, all right. I'll leave it there, maybe I'll circle back in the queue in a bit, thanks guys.
Anthony Scaglione: Thanks.
Scott Salmirs: Thanks.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Marc Riddick from Sidoti. Please go ahead.
Marc Riddick: Hi, good morning.
Scott Salmirs: Hey, good morning Marc.
Marc Riddick: I wanted to touch base and maybe if you could bring us up to date a bit on you've gotten some feedback from some of the new education clients post GCA, you touched on this a little bit I suppose with some of maybe the other areas that you can expand and but I was just wondering if you could sort of update us on the feedback that you're getting from them and sort of maybe some of the differences that you're seeing there?
Scott Salmirs: Yes, I mean so I think for us having GCA now even with the legacy ABM portfolio we now bring the ground's perspective which we never had before, landscaping and ground, so that's been good. And then from their portfolio we're bringing the Technical Solutions. So it feels like a much more robust offering in K-12 and on the university side and just last two or three months we renewed the [indiscernible] County schools in Florida which is a big K-12 system, Hamilton County schools in Tennessee, a big community college in Texas. So like I feel like our offering is really resonating and the team is pulling together with some really definitive wins in the last 45 days. So I think there's just a lot of energy around the pipeline and our approach to the market now.
Marc Riddick: Okay, great and I was wondering it might be a little early for this, but it can't hurt to ask I suppose, I was wondering if you had a general feel for the funding environment of the education markets and if you had sort of some thoughts around that?
Scott Salmirs: That's hard to tell, I think as we've talked about before when you kind of look at the deferred maintenance in schools, it's really a problem and it's gotten a lot of notoriety lately. So we think there over time especially if there is any infrastructure funding that remains to be seen. But we think over time it's really going to play to the strengths of our Technical Solutions and our Engineering business. So I think more to come on that, but I think it's a big opportunity for us in the future.
Marc Riddick: Okay and then and you've covered a lot of this on the going back for a moment over to the additional sales folks, I was wondering what the timing and cadence was like of the 30 that you've brought on so far, was that sort of beginning of the year weighted or what was that cadence like?
Scott Salmirs: So it was probably even across since the beginning of the fiscal year and I think you have to do these things with a certain pacing cadence and again it is, it's difficult finding salespeople right? But again, as I said before, as long as we have the right process we feel good that we're going to staff up and hit our goal of 60. And that's not a net number right because, there will be people that will drop out because we're being really good about looking at people's performance and if you cannot meet your performance goals, we'll be making the appropriate changes. So 60 is more of a gross add number rather than a net, net which may be closer to 50 or 45.
Marc Riddick: Okay and than one last one from me, I wanted to go back to the Tag Pricer and the rollout there and how that that's going. I was wondering if there were sort of some areas of low hanging fruit that you've seen so far, I mean granted it's very early, but I was wondering if you could, if there was a sense of surprise as to what's worked with it so far or what hasn't that type of thing? Thank you.
Scott Salmirs: Yes, so I think the great surprise for us is the adoption rate and how happy our managers are because it creates efficiency. So a process that may be used to drag on for two or three days with all the transposing of numbers and filling out work orders now gets done right on now pretty instantaneously. So people in this system are just really happy that they're getting a piece of technology that's useful and helps them spend less time in the office and more time out with clients and managing the staff. So to have an adoption rate over 30% in such a short period of time we think is pretty dramatic. So I think it's less about pricing optimization right now and increased profitability because we're just rolling it out. We're just getting in the learnings and we don't even have a baseline yet, right because we just started using the tool. So yes, probably won’t be realistically until a year from now that we can start doing some year-over-year comparisons of that side of it. But you know, people are so happy these days to get efficiency tools, so they could be more effective again with their clients and their staff that it's been really exciting.
Marc Riddick: Okay, great. Thank you very much.
Scott Salmirs: Thanks.
Operator: Thank you. Our next question is a followup from the line of Michael Gallo from CL King. Please go ahead.
Michael Gallo: Hi, just had a followup on the tag optimizer. I know you mentioned 30% of the tag work was going through that of late. And I didn't hear you and perhaps I missed it, have you seen that actually driving the overall level of tag business up or is it more just driving the efficiency and satisfaction among your employee base because it's really freaking them up in the back office?
Scott Salmirs: Yes, I think it's the latter Mike. This is a new initiative for us right and for us it's all about adoption, training. Hey look, we're still - we're in Phase 1 of this. There'll be a Phase 2 of it in terms of even improving it. So it's less about creating more tags right now or creating better margin right now. This is an efficiency play this year and remember it's only at B&I. We haven't rolled it out to the other industry groups. So I think there's just a lot more - a lot more to come and a lot more from a learning standpoint and the margin and the kind of the frequency of tag is probably more of a '19 story than an '18 story at this point.
Michael Gallo: All right and then just a sort of the second part of this, I know this has kind of rolled out to the - in the field. I was wondering if there is an ability to roll out something to the customer where the customers themselves could have an app and they all want the carpet cleaned, then they could actually reach out directly to ABM for certain services or is that not something you can’t employ?
Scott Salmirs: Absolutely something that we're working on, absolutely. We're looking at a lot of technology innovation and the goal is to get stickier with clients. So the more we can create platforms that the clients could be on sharing with our employees is the way we're going to increase our retention. So all that stuff is in the works and I would say more than ever nearer term rather than longer term.
Michael Gallo: Okay, thank you.
Scott Salmirs: Sure.
Operator: Thank you. Ladies and gentleman at this time we have no further questions in queue. I would like to turn the floor back over to company management for closing comments.
Scott Salmirs: Well, thanks everyone. Again, I want to just tell you how much I appreciate you making the time for this call and we’re excited about the start to the New Year and we look forward to being back with you in June to talk about our second quarter results. Have a great day.
Operator: Thank you. Ladies and gentlemen, this does conclude our teleconference for today. You may now disconnect your lines at this time. Thank you for participation and have a wonderful day.